Carl Cowling: Good morning, everyone. Carl Cowling here, Group CEO, and I'm joined by Robert Moorhead, our Group CFO and COO. Thank you for joining this morning's call. So during this call, we'll give you an update on our results for the 6 months ending the 28th of February 2021 and also how we are planning for the months ahead. Rather annoyingly, at some points during this call, our building is going to have a fire alarm test, which we are obviously trying to get stopped, but you know how these things work. So I certainly you hear an alarm go, I will put it on mute and then we'll restart in about 20 seconds. So don't worry if suddenly everything goes into silence. In a moment, Robert will take you through the numbers, including a brief update on current trading. I will then take you through the operational performance for both Travel and High Street, and we'll end with your questions. So before handing over to Robert, a quick intro from me and turning to Slide 3. Despite the continued impact from COVID-19, we've delivered an encouraging performance. We are a resilient and agile group with a strong business model. And since the pandemic began, we have implemented a very focused plan around increasing conversion and driving average transaction value, which has delivered good results across all markets. Our High Street business has proven resilience, delivering profits of GBP 24 million across the half and what has been a very challenging environment. Our online platform, funkypigeon.com, has delivered a record performance, and I will come on to talk more about this later in the presentation. In Travel, although a lot of our stores have been closed in the half, it's a credit to the team that we've kept up the momentum, focusing on our plan to drive ATV and increase conversion in those stores we have kept open, while continuing to win more new business. This has put us in a stronger position operationally as we continue to grow. We are very encouraged by the strong pipeline of opportunities with 100 stores already one of which are due to open over the next 3 years. Internationally, we are seeing an encouraging recovery in North America, and we have won a number of new stores there. I'm also particularly pleased with our cash performance in the half with a free cash outflow of just GBP 13 million. So we have positioned the group well. We are financially strong due to the actions we have taken, and the new financing arrangements announced yesterday puts us in an even stronger position to take advantage of further opportunities that will exist over the coming months. I'll now hand over to Robert to take you through the numbers.
Robert Moorhead: Thank you, Carl. Good morning, everybody. I will start on Slide 5 with an overview of the half year results and then look later at the balance sheet and give an update on the refinancing we have just announced. All the numbers I'm going to refer to are pre-IFRS 16, and there are some bridges to IFRS 16 in the appendix. So the results for the first half reflect the continued impact of COVID around the world and, of course, the comparators here reflect the pre-COVID world. As a result, total group revenue of GBP 420 million was 44% below 2020. Headline loss for the half was GBP 19 million, better than we had expected back in November. Free cash flow in the half was an outflow of GBP 13 million due to the impacted trading performance offset by active management of our cash. We finished the half with cash on deposit of GBP 52 million and available liquidities of -- liquidity facilities of GBP 200 million. The Board will not be proposing an interim dividend for the 2021 financial year. So turning first to revenue. So on Slide 6, you can see overall group revenue was GBP 420 million. Travel generated sales of GBP 150 million, down 65% on last year. North America was the best performing region, reflecting the domestic nature of that market and the faster recovery there. In the U.K., hospitals was the best-performing channel. High Street has performed ahead of our expectations and for the half generated sales of GBP 270 million, down 14% on last year. We were able to keep the majority of our stores opened during the second and third lockdowns. In total, the quarterly performance compared to 2019 has been pretty consistent. We were pleased with the performance of High Street over Christmas when we delivered sales at over 90% of 2019, and we had a strong March, driven by a very successful Mother's Day performance. Our Internet businesses have continued to perform strongly throughout the financial year. In our Travel business, the progressive lockdowns in the autumn and then the additional restrictions in lockdown 3 in the U.K. resulted in a slight softening of revenue in Q2. However, the stronger recovery in North America has driven the improved Travel performance for Q3. So turning now to the income statement on Slide 7. So headline loss before tax for the half was GBP 19 million. The loss in Travel was GBP 28 million, of which the U.K. was a loss of GBP 19 million. Of the International loss of GBP 9 million, GBP 3 million related to North America and includes the benefits from merging the 2 head offices into Vegas and good focus on managing rent and other costs. High Street delivered a profit of GBP 24 million, a better result than we had anticipated, reflecting a good trading performance given the lockdown as well as tight cost control. In both businesses, we saw the benefits of the restructuring undertaken in 2020 and our continued focus on all cost lines. And we continue to take cost actions in the light of the current environment, including accessing the job retention scheme and reducing labor cost to match sales volumes. And that meant the group loss from trading operations was GBP 4 million. Financing costs at GBP 6 million reflect the full 6 months of the MRG acquisition loan and does not include any of the refinancing costs from the amend and extend announced on 9th March. Following the refi announcement this morning, we expect the annual financing charge to be in the mid-20s, with a cash cost GBP 10 million or lower than that and considerably lower than it would have been. So that left headline loss before tax at GBP 19 million. In the context of COVID, it's not a surprise that we also have a number of nonunderlying items in the half, which I'll turn to now on Slide 8. The nonunderlying items in the half are nearly all COVID related, I've listed them all on this slide, and there's a lot more detail in the press release. But the important point here is that the vast majority of these charges are noncash. Whilst we have GBP 18 million of nonunderlying items, the cash outflow relating to them in the balance of the financial year is approximately GBP 2 million, most of which relates to store closure and integration costs. We will have further nonunderlying items in the second half, mainly in relation to the amend and extend announced in early March. So turning now to cash in more detail on Slide 9. We've continued to focus on cash, generating GBP 15 million of operating cash flows, which offset by a small working capital outflow and CapEx meant we had a free cash outflow of just GBP 13 million. This results from the better-than-expected trading performance from High Street and good management of working capital and CapEx. We have taken a disciplined approach to CapEx through focusing on strategically important projects, which set us up well for the long term and, of course, ensuring health and safety. We spent GBP 22 million in the half on projects such as Manchester Airport and Heathrow T5 and anticipates a spend of around GBP 50 million in the year, although we retained some discretion over that. This capital investment is a small part of the development opportunities we had in place pre-COVID and which we've continued to build upon. So looking now at our net debt on Slide 10. Net debt at the end of the half was GBP 336 million, reflecting an overall outflow in the period of GBP 35 million. Of this, GBP 13 million was the free cash flow, and we then had GBP 22 million of cash outflow on nonunderlying items, which mainly relates to the restructuring announced in 2020 and is largely complete. So that left us with a net debt at the end of February of GBP 336 million and with a decent amount of cash, of which GBP 52 million was on deposit. So turning now to our debt structure on Slide 11. We've also announced today new financing arrangements that set us up well for the medium term. After the successful raise, we now have a 5-year convertible bond of GBP 327 million, with a conversion price of GBP 24.99 and a coupon of 1.65%. We will retain GBP 50 million of the convertible and use the balance to repay the GBP 400 million of term loans. We have also extended our RCF by GBP 50 million by introducing a new bank into our club. This gives us an additional GBP 100 million of liquidity to help fund our existing development program and the significant opportunities we've identified. Both the term loan and the RCF have a maturity date of April '25, so we now have facilities of GBP 710 million, of which GBP 460 million is the term loan and convertible. So this leaves us with additional liquidity to support our development program and further opportunities. A lower coupon has significantly diversified the sources of our debt funding and has extended the maturity profile of all our debt to at least 2025. Our capital allocation policy remains unchanged. Investing CapEx, where returns are ahead of our cost of capital, return cash to shareholders either by dividend or share buyback and to have a leverage in normalized conditions of between 0.75x and 1.25x. So if we look now at our liquidity, turning to Slide 12. Following the new financing and raise, we significantly improved our liquidity. We now have the GBP 250 million of RCF and additional funding of GBP 50 million, giving us total liquidity of GBP 350 million, which you can see on the right-hand bar of this slide. From that, we need to deduct GBP 48 million, which relates to known commitments, for example, delayed payments of rent, largely on the High Street and creditor payments, and that leaves access to GBP 302 million of liquidity. We've worked hard on managing our cash burn. The strength of our High Street trading performance meant we generated cash over the Christmas trading period and reduced our monthly cash burn over the January, February, March period to approximately GBP 7 million per month. Based on our current expectations, we anticipate a small draw down of our RCF at the end of August. And then looking at the September to December period, assuming the same conditions as 2020, we would generate cash. So I'll now hand you back to Carl to talk about the operational performance of the business.
Carl Cowling: Thank you, Robert. And before I go into the operational performance, I thought it would be helpful to run through our key areas of focus across the wider Travel business. So turning to Slide 15. And as I said at the beginning of the presentation, we have worked hard to execute our plan across all of our channels and territories in Travel that place greater focus on initiatives within our control. This has supported us well in the immediate term and positions us well for the future to emerge operationally stronger when our markets recover. So our key areas of focus are increasing the quantity and quality of our space. And as you've heard, we have already won around 100 stores that are due to open over the next 3 years, increasing ATV and conversion, category development and cost and cash management. I'm pleased to say that they have delivered some really encouraging results during the half. As I go through the presentation, you will see that these initiatives are integral to each channel and territory. The progress we are making sets us up well for the future with plenty more opportunities to go forward. Turning now to our U.K. Travel business and our performance by channel on Slide 17. We were really well positioned in air going into the pandemic. And despite the significant reduction in passenger numbers, we're not losing size of planning for the future. During the half, we have been building on our strong position through focusing on increasing average transaction value and customer conversion, where a small increase to our low ATV of around GBP 7 could have a big effect on sales. We are currently seeing an increase in ATV in excess of 15%. We have also been extending our categories, including health and beauty, following the success of our combined pharmacy format store at Heathrow Terminal 2. And we continue to invest in our stores and develop new formats working with our landlords to improve the amount and quality of our space. Overall, we have now updated or launched new stores over the last 12 months that will serve around 25% of pre-COVID passenger numbers, including stores at the new terminal at Manchester Airport. And we will have refitted all of our stores at Heathrow Terminal 5 by early next month. In addition, we have successfully extended some key contracts during the period. So turning to Slide 18 and a quick example of how we bring all of this to life. Here, you can see an example of our recently refitted store at Heathrow Terminal 5. This store represents how updating and where possible, increasing the size of our airport stores continues to support our focus on driving ATV and increasing customer conversion. In this store, you can see that we have introduced a large digital fascia as well as digital signage across the store, very similar to our flagship format that opened at Heathrow Terminal 2 last year. This is designed to make the store more attractive to passing customers by promoting our key offers and products and, therefore, increasing both penetration into the store and average transaction value. We have also completely changed the layout of the store and introduced a new walkway from the start of the customer journey to the final payment area. This walkway helps customers navigate the entire store, therefore, seeing more of our product categories, which could have been previously missed. You can see that we have also relayed some key growth categories to ensure they have additional space and prominence to drive more sales. Food and drink have doubled in space. Digital and health and beauty have also doubled in space. We have introduced new souvenir ranges at the front of the store with bespoke fixures to appeal to non-U.K. passengers. We and our landlord partners are delighted with a look at this store, and we have seen a significant improvement in both ATV and spend per passenger. Turning now to Slide 19 and looking ahead. So looking ahead in air and how we're planning for both the recovery in the future, it's worth reminding you that around 80% of passengers travel for leisure purposes. And the WH Smith customer trends more towards leisure than business. We also firmly expect leisure passengers to return first. As you know, summer is the peak trading period for our Travel business, over the past number of months, we have not sat still, but worked hard to ensure we are best placed to emerge strong growth. Our experience shows us that our large store formats deliver significantly higher ATV and spend per passenger, supported by improved layouts in the customer journey. We also continue to focus on extending and improving our ranges to best meet the needs of our customers and our landlords. During the half, this has included a number of trials, including introducing premium food ranges, developing our souvenir category and we have launched our own brand InMotion tech accessories across a number of our stores. There is plenty of scope to do more going forward. In addition, we expect to benefit from new space opportunities. We're in active discussions with our landlords and this month, we have opened a new bookshop at Heathrow Terminal 2. We'll be opening a Costa Coffee store at Aberdeen airports in the second half. Turning to the next slide. As you know, the Hospital channel is an important business for us. And prior to COVID-19, it was our second largest channel by revenue behind ad. We now operate 130 stores in hospitals across the U.K., and we believe there is scope for around 300 hospitals in the U.K. to support at least 1 of our store formats. Our Hospital channel is a great example how we continue to innovate, and we have developed a strong proposition tailored to each location with a broad suite of brands, including M&S and Costa. We now operate 41 M&S Simply Food stand-alone or shared space stores across hospitals. Throughout the pandemic, we have kept our hospital stores open to continue to serve NHS staff. And while sales have clearly been impacted with no hospital visitors and elective surgeries canceled, these stores have performed well. And importantly, we have made life a little easier for NHS staff and strengthened our relationships with hospital trusts. Going forward as the impact of COVID declines, we would expect to return to opening an average of around 10 new stores per annum in this channel. Turning now to Rail on Slide 21. We saw a similar picture in rail to air with a challenging first half impacted by travel restrictions. However, it still remains an attractive channel to us going forward with around 1.7 billion passengers pre-COVID and leisure passengers accounting for around 40%. Over 70% of our sales were taken at off-peak times and over the weekend, with a higher average transaction value and spend per passenger, reflecting leisure passengers with more time to browse. And we know that the WH Smith customer trends more towards leisure than business. Since the beginning of March, we have also seen a steady improvement in passenger numbers. And as more people begin to return to office working, we expect to see passenger numbers increase. More flexible working arrangements are also likely to spread passengers more evenly throughout the day with less rush hour pinch points when customers have less time to browse. So while passenger numbers may be impacted in the short term, we are focused on driving ATV and we have seen some good results in the half with a double-digit increase. Finally, we continue to invest in this channel and during the second half, we will open our first combined pharmacy format store at Euston Station. Turning now to our International business and starting with North America. And we can say that North America, a very attractive market with good growth opportunities. It now represents around 50% of our international store estates. The U.S. is the largest Travel retail market in the world, valued pre-COVID at $3.2 billion. 85% of passengers are domestic and more leisure focused. So in today's climate, this is particularly important. We expect a substantial amount of retail footage to go up for tender over the next 10 years. So there are attractive growth opportunities. MRG are very successful with a proven business model and unique capabilities that sets it apart from competitors as evidenced by its continued track record of winning tenders, with 62 new stores won and due to open over the next 3 years. So the combination of WH Smith, MRG and InMotion allows us to participate in the entire U.S. airport specialty retail markets. We are well placed to combine our expertise and forensic approach to space management with MRG stable of brands as well as InMotion making us a significant player in the market. We also continue to invest in new stores where we see attractive opportunities for profitable growth. And I'll come on to talk more about new wins in a moment. During the half, we completed the integration of InMotion into MRG head office, and this will deliver GBP 5 million of annual cost savings and now create a more focused North American business. Turning now to Slide 24. In terms of performance in the U.S., we're seeing some encouraging signs of recovery, with total revenue in March at 61% compared to 2019 levels. The data from the transportation security administration, which publishes data on how many passengers have passed through U.S. airport checkpoints each day, also shows a consistent, steady recovery in passenger numbers. In terms of our stores, we now have the vast majority of stores trading with 221 stores open. And we continue to win new business, which I'll come on to you on the next slide. It's also worth reminding you why the resource channel is an important market for us. MRG are a leading player with very long-standing relationships and a significant amount of expertise in this channel. It also has a similar customer dynamic to our Travel business. So we're in a good position to apply some of our expertise here. As we expected, this market has proven very resilient as a leisure location with a much faster recovery. Whilst many people drive to Vegas, we are also seeing a significant improvement in passenger numbers coming through Las Vegas airports. So we now have all but a handful of our stores trading here, which includes 8 new store openings in the half, including our first InMotion stores in this channel. Turning now to Slide 25 and the significant growth opportunities in the U.S. And I thought it would be helpful to outline the business we've won over the next 3 years in North America, with tenders either one prior to acquisition or since we have acquired the business. As you can see on the table, we plan to open 8 stores in the second half of this financial year. And looking ahead, we already have an additional 18 scheduled to open in our 2022 financial fiscal year with 29 lined up for 2023 and a further 7 in 2024. So a huge opportunity, and we expect to build on this. At the bottom of the table, you can also see the projected CapEx requirement for each financial year, which is why the new financing arrangements announced yesterday puts us in a strong position going forward. So significant opportunities to grow this business and we will, of course, keep you updated. Turning now to our International business outside of North America on Slide 26. And as you know, outside of the U.S., WH Smith has a small market share of the International Travel retail market. In terms of recovery, we expect domestic travel to return first followed by short-haul and then long-haul. So in the immediate term, and as we have done in the U.K., we remain focused on areas within our control, including driving ATV and increasing conversion. And I'm pleased to say that despite the ongoing impact of the pandemic in the first half, we continue to win and open new stores, where we have signed deals that reflect current passenger trends, including a significant tender win at Adelaide Airport in Australia, which is due to open later this year. Early indications suggest there will be a large number of tenders coming to the market in the coming months across our traditional categories as well as in tech accessories. We have also opened 5 new stores. So as at 28th of February, we were trading from 194 stores internationally outside of the U.S. and we remain well positioned to benefit from further opportunities ahead as more space becomes available. So before I move on to the High Street business, a quick recap of Travel and looking ahead on Slide 27. So as you've just heard, we're in a very good position with a strong pipeline of new space across all our channels and territories, totaling around 100 new stores won and due to open over the next 3 years with the majority in North America. In Air, in terms of passengers, we expect domestic passengers to return first followed by short-haul and then long-haul. In Rail, as government restrictions are lifted, we expect leisure passengers to return first followed by more people returning to office working. Both within and outside of the U.K., we remain committed to our key areas of focus to drive ATV and increase customer conversion. And in our Hospital channel, we expect to see a further improvement in sales as hospitals return to pre-COVID levels with more visitors and the return of elective surgeries. So we have made some great progress and kept up the momentum by investing in our stores, opening new formats and winning new business, which puts us in an even better position to emerge stronger from this pandemic. And we expect further good growth opportunities ahead to continue to win new space. Turning now to the High Street on Slide 29. As you know, we have a very clear strategy in the High Street, and it continues to be as relevant today as it has ever been. Growing our stationery business has been and will continue to be key to delivering on the 4 key elements of the strategy: space management, category management, margin growth and lowering our cost to serve. Despite heavily reduced footfall in the first half, our High Street business delivered a resilient performance with profit of GBP 24 million. In line with government guidance, we kept all but a handful of our High Street stores opened throughout the lockdown periods, including over 200 post offices to serve our local communities. And it's worth remembering we have a strong presence across the U.K. with 95% of our High Street stores in prime pitch locations. Further to the easing of restrictions on the 12th of April, all stores are now open and trading. As we have done in Travel, we have also focused on initiatives within our control across our High Street business with a greater focus on ATV where we have seen an increase of over 20% and category developments, which I'll come on to talk about in a moment. During the half, we also saw a strong performance for our online business. Turning now to the next slide, Slide 30. As you all have heard many times before, we treat space as a strategic asset, and we utilize our space to maximize the return in the current years in ways that are sustainable for future years. We have extensive and detailed space and range elasticity data for every store built up over many years. We utilize our space to maximize the return on every meter drop of display space in every store. This approach remains as appropriate today as it has ever been. During the half, we successfully implemented new working from home ranges and electrical accessories ranges across around 500 of our stores, and we see this as an important emerging category. In addition, we have increased the space supported through greeting cards across our stores in market towns delivering some positive results, and we expect to extend this further. And finally, we have been encouraged by the performance of our in-store stationary trials in partnership with Typo and Tinc. These new ranges complement our WH Smith stationery ranges and attract a different customer type to shop in our stores. While it is still early days, the results are encouraging and customer feedback has been very positive. We have also seen a strong performance from whsmith.co.uk, and we continue to building our multichannel offer. Turning now to cost efficiencies on Slide 31. And as usual, we have worked particularly hard at managing costs during the half, delivering savings of GBP 24 million, and we're on track to deliver GBP 37 million in the year. These savings come from right across the business, including rent reductions at lease end of over 45% as well as logistics and supply chain efficiencies. As you know, we have worked hard over the past 10 years to create a very flexible lease portfolio in the High Street with short leases where our average lease length is now only around 2.5 years. This has set us up very well to respond quickly to changing market conditions. We have around 430 leases due to expire over the next 3 years. Given this rolling program, we, therefore, have further opportunities to renegotiate our occupation costs going forward and expect rent reductions to remain a key component of our future cost reduction strategy. Even with years of savings, the High Street cost base is still substantial, and we continue to see opportunities for further savings. Turning now to funkypigeon.com on Slide 32. Funkypigeon has continued to perform stronger year-on-year, particularly over the last 12 months and is on track to deliver profit in the mid-teens this financial year. During the half, funkypigeon has delivered record performances from both personalized cards and attached gifting throughout each of the key trading periods. In terms of the market, online card sales have a very small penetration of the overall market, so there are significant opportunities to grow this platform further. We continue to invest in the site and have extended the fulfillment capability to meet demand, supporting the significant increase in new customers over the past 12 months. Our continued investment in the app has also helped improve customer conversion. And we believe there are significant opportunities to grow the platform further in terms of both capability and ranging. Turning now to the next slide. Before I move on to summarize the first half, I thought it was worth touching on ESG. It's clearly been a busy half across the business. However, we have continued to focus on our ESG performance that recently launched our new sustainability strategy, our journey to a better business. I'm pleased to announce today that our business is now carbon neutral across all of our U.K. estate through a big focus on energy efficiency and switching to 100% renewable electricity. We will be continuing our transition to net zero with an aim to reach the same milestone for our International estate by 2025. And we will work with our suppliers to decarbonize our supply chain by 2040. We continue to focus on responsible sourcing practices, and the vast majority of our own-brand paper products are now made from recycled materials or come from sustainably-certified sources. We are removing plastic glitter from our ranges in time for Christmas 2021. This is in addition to our work to redesign and remove plastic packaging from our seasonal ranges wherever possible. One of the greatest impacts of COVID-19 has been the increasing gap in children's literacy levels. And we're very proud to continue our partnership with the National Literacy Trust at such an important time, working together to provide books to all children in this country who do not own one of their own. In addition, we have also donated thousands of products to charities and good causes across the U.K. We recognize that it's been a difficult year for many. We have doubled our efforts to promote to our employees the importance of mental wellbeing, providing financial and in-person support to anyone who needs it, and all of our line managers have now received mental health training. Finally, I'm delighted to say how our efforts have been recognized towards the end of last year, with us being awarded a place in the Dow Jones World Sustainability Index for the first time, one of only 11 retailers globally to be included. We're looking forward to building on this recognition, delivering on the next part of our strategy, continuing to play our part to address some of the key challenges facing society and the environment over the next few years. So turning now to our final slide and a quick summary. So looking ahead, we are well positioned for the recovery. The group is financially strong with good liquidity. We are an important retail partner for our Travel landlords with a proven strategy and good growth potential. And we continue to invest in new stores and develop new formats in the U.K. and North America where we can see attractive opportunities for profitable growth. As I said, we are now operationally stronger than prior to the pandemic with 100 stores already won and due to open over the next 3 years, and we anticipate further opportunities ahead to win new space. Our High Street business is cash generative and has delivered a resilient and profitable performance. And we see significant growth opportunities with funkypigeon.com. We are good at adapting to changing market dynamics. And this, together with our key initiatives, our stringent approach to cost management and the new financing arrangements puts us in a really strong position to continue to navigate through this time of uncertainty and benefit from the growth of our key markets. Thank you, and we will now take your questions.
Operator: [Operator Instructions] The first question comes from Richard Chamberlain at RBC Capital Markets.
Richard Chamberlain: Couple for me, please. Can I just ask one on the Travel side? I wonder kind of if you can give a bit more color on sort of contract terms on new contract wins, particularly in the U.S. How are those comparing with sort of pre-COVID type terms? And how is the competitive environment for the tenders at the moment? That's the first one. And then the second one is on funkypigeon. I wonder if you can give a bit more color in terms of detail and what you're doing in terms of expanding capacity and fulfillment of that business. What you've done and how you're planning to develop the range?
Carl Cowling: Okay. Thanks, Richard. On Travel, in terms of contract wins, there are always very competitive tenders. I mean, as you know, North America, we've got 2 big competitors, Paradies who are run by Lagardère and Dufry. We're quite often tendering against them. The win rate that we've had from our U.S. business has continued. The contracts that we are signing up to are reflective of the current circumstances. So we're very mindful that passenger numbers may still take a while to recover. So we've built that into the contract. U.S. contracts tend to be a bit longer. It tends to be 10-year contracts, which tend to be a bit longer than European contracts. So -- and then, I guess, closer to home in terms of contract wins, it's pretty much the same as it always has been. But again, we're very mindful of the recovery of passenger numbers. So signing up to minimum guarantees isn't something that we would do at the moment. In terms of funkypigeon, we've done an awful lot to expand capacity. So we're actually able to bring costs now in Swindon. So we thought long and hard about our capacity, and we spread it over to sort of iron out those key pinch points. In terms of the developments over the next 3 years, there's an awful lot to go after. We're redeveloping our app. There's lots of technology that we're bringing into the business. We've got a brand-new Managing Director, who started -- who is going to bring out a wealth of experience to that business. And we're very ambitious for the next 3 years for funky.
Operator: Our next question comes from Jonathan Pritchard at Peel Hunt.
Jonathan Pritchard: Three for me, if I may. Just to follow on Richard's question on funkypigeon. Just the behavior of customers, the new batch, new cohort of customers, the sort of COVID customers, are they behaving the same as normal customers, normal recruits? Or is there any difference in the behavior in any reason you would think that they wouldn't be as sticky as others? Within the range extensions and changes in Travel, who are the 4 guys? And what's the potential from a gross margin perspective? I understand the potential from an ATV angle. But from a gross margin perspective as well. And I possibly missed it, I dipped out for a couple of tiny bits, but your thoughts on Dixons and their words a couple of days ago and the potential opportunity that is from a market share and a space perspective.
Carl Cowling: Okay. Well, in terms of funkypigeon, I mean, obviously, we've brought in a large amount of new customers. We're doing as much as we can to make sure that we retain those customers. And actually, in the market of cards, reminders is key. So making sure that you access with that customer, you understand when all of their key events are and then reminding them when those events come up is a key way of keeping those customers sticky. As you say, it is a completely new cohort, but we're working very hard on that. In terms of range extensions, in terms of the full guys, I don't know. I mean are there anything -- the way we look at it, that there is a big benefit to bringing all kind of essentials under one roof, because if you have well-designed stores and customers coming in for a key essential, they see other categories, some other essentials and they end up spending more money. It's kind of good for us. It's good for our landlords. It's a very optimum use of space. And we often find that with larger stores, we actually get more pounds per square meter, which doesn't normally work out that way for a retailer. So it's a very efficient way of doing it. So health and beauty and electrical accessories work very well for us. The gross margin on those categories is in line with the margins of our other key categories. So we're very happy with the profit delivery. Your third question was on Dixons. And I see that as a big opportunity, to be frank. InMotion is a great brand in the U.S. It works very well in U.S. airports. We've already brought it over to the U.K. We've got a trial store in leads airport that we've been trading for just over a year. We've got stores in Alicante. We're having stores in Berlin. I think the InMotion brand will work very well in U.K. airports. And I think what's different for us over Dixons is we have all of that back-end infrastructure in place. So we'll have cost efficiencies on our side because we were able to have shared warehousing, kind of shared administration behind the scenes. And I think there will need to be a slight recutting in terms of the offer of electricals, more accessories weighted than hardware weighted and I think that will be good for the British consumer in airports. It will work for us, and I think it will work for the landlords. So I'm quite excited about the opportunity.
Operator: Our next question is from Richard Taylor at Barclays.
Richard Taylor: Other one on funkypigeon. Can you give us some more concrete sort of growth aspirations for that business? I think you said mid-teens profit for this year, but should we expect that in the 20s on a sort of medium-term view? And obviously, it's performing very well for you as the sort of owner or manager of it. But do you think it sits naturally in the group from a medium-term perspective? And secondly, just on competition. Obviously, we've seen the Dixons news and you've commented on it. But can you give us a few more examples elsewhere around the world in terms of what you're seeing on the supply side in terms of your potential opportunity to grow the site pipeline beyond the hurdles that you disclosed this morning?
Robert Moorhead: Richard, let me take the funky one. In terms of growth aspirations, clearly, this is a big market, greeting cards. The U.K. greeting card market is GBP 1.5 billion. And the penetration of online within there is what 20% and, clearly, opportunities through the natural increase in online transactions will continue to sort of underpin the growth here, add in the investments in marketing, in apps and in range developments and fulfillment flexibility. We've got strong growth plans for this business. I'm not going to give you a number right now, but the rate of growth that we're seeing at the moment has been extremely high, and we expect to see growth to continue, not at the same kind of levels but certainly higher than we had seen in the past. And I know you would have gone back and looked at the past. That -- so we're expecting rates of growth to be higher than we saw pre-COVID, but not as high as we saw in COVID. In terms of where does it sit in the group, well, this is a very nice asset for us. Our job is to create value for all our shareholders and stakeholders. We think there's plenty of value still to be created in the business. But if someone wants to come in and offer us the same valuation and the same price as moving piece is currently priced in the market, then great. Why wouldn't we talk to them? But I think it sits very nicely in the group. We create value in all our -- that's our goal in all our businesses, and this is no different. So I think funky well positioned and we'll continue to grow, and we'll continue to create value for money in the group. In terms of competition, our competition remains largely the same in terms of the 2 key competitors. And when we tender across the world, be it the U.S. or Europe, it's often against Lagardère or Dufry and their brands. And we sort of -- we match up pretty well to them. I guess we're seeing more tenders coming up now than we've seen before. We're seeing more opportunities and, I guess, an emerging one for us and it builds on the Dixons' point is that there are more tenders around electronic accessories and retail shops in Europe. So Dixons don't just have a business in the U.K. They've got a business in Dublin. They've got a business in Oslo. There are 2 other airport retailers in Europe whose businesses are coming up for tender as well. So that's something that we're putting a lot of resource towards understanding how we could win more.
Operator: Our next question comes from Harry Gowers at JPMorgan.
Harry Gowers: I've got 3 questions, if I can. First one is just on North America. In terms of those leases coming up for renewal across the market, is that split pretty evenly over the coming years? Second one is on ATV. If you could just remind us what the ATV was pre-COVID in Travel? And if you have a midterm target in mind where that could get to? And the third one was just on InMotion. So obviously, you've got the 2 new stores in resorts now. I was just wondering what the white space available there is InMotion in those resorts. What could that number get to? And could InMotion also be exported to any other formats like Rail in North America?
Carl Cowling: So in terms of North American leases coming up over the years, there isn't a published pipeline of when tenders come up. All we can say is that broadly the airports in the U.S. are owned by the local municipalities or the local council. So that everything is very sort of open and transparent. And the vast majority will come up in an orderly way for tender over the next 10 years, which isn't great. If you're the big #1 and #2 with a lot of share, but it's pretty good for us within our portfolio of brands. So we're in -- we've won a lot of tenders. We're in several active tenders now, and we would expect that to continue. And we think that will be a good pipeline going forward in North America, but it's difficult to predict the exact timing when they come up. In terms of ATV, it all depends on size of store and the format. But broadly, our ATVs range from about GBP 7 to GBP 9, GBP 9 being the ATV in our larger format stores. And what we've done is we've looked at the layout of stores. We've widened some of our newer categories like electronic accessories and health and beauty. We've made sure that there's really good visibility through the store. So when we look at our stores across the world, the minimum ATV growth we're getting is about 10%. And as passengers come back, we want to hold on to that. And obviously, that's a great dynamic to have. We could get our business back to kind of pre-COVID levels, but hold on to that ATV growth. The optics of the business would be very different and that's our focus. And we're making sure that we've got constant initiatives that are developing to improve that. A really good live example in the U.K. is that we've really updated our food range in about 10 stores. So we've introduced YO! Sushi. We've introduced food from that brand called Crush. And that's been -- the initial signs are really good. And obviously, therefore, for the takeaway food offering, we're getting a much higher basket value. The customers are happy, they're getting much better choice. And we think by sort of trialing and testing those initiatives and rolling them out, we'll continue to have enough initiatives to carry on this growth. In terms of InMotion, I guess, it's early days. We want to see how the 2 stores in Las Vegas do. Myself and Robert were over there recently and wandering around Las Vegas seeing the stores. And there isn't a lot of opportunity to buy electronic accessories in Vegas. And we were both saying there could be a lot more opportunity for us. But we just want to see how these 2 go before we expand it any further. And in terms of kind of the wider expansion of InMotion, I really do think we can have that brand working well in many countries across the world. So we feel very ambitious for it.
Operator: Our next question comes from the line of Owen Shirley at Berenberg.
Owen Shirley: Three, if that's okay, please. The first was a follow-up on Dixons. I mean it seems like you would, in many ways, be the sort of natural show in for a lot of those stores. Is that fair? And if not, who would the main competitors for those be? The second one, again, a follow-up on the ATV increase. It sounds like, to a large extent, it's coming from category expansion and a bit of premiumization. Is there anything else that you think can be mix driven around the type of customers that you're getting at the moment given, I suppose, the key question is can we keep it? And then also, is the gross margin on that incremental spend the same or better or worse than the preexisting? And then the final thing on the North American expansion opportunities. Is it the case that it's just the size of the opportunity that has become larger as a result of the last 12 months? Or are you expecting returns on capital to be better?
Carl Cowling: Owen, thanks. So in terms of the first question, Dixons, it's definitely not assuring because electronic accessories is a tough business. And if you think about Heathrow and if you say they get passengers back to 50% of pre-COVID levels, that's still bigger than any shopping center. So there are going to be other retailers interested in it, and there are European retailers that do sell electronics and electronic accessories. So I still think there will be a competitive position. But I think following yesterday's announcement, we're certainly in a stronger position than we weren't have the day before. We were already talking to a number of airports about launching InMotion. I think our argument is now more compelling. In terms of ATV, I see what you're getting at about -- as all of this shakes out, will we lose some of the growth? I think at the beginning of the pandemic, a lot of ATV growth was simply because we were the only show in town, we were open. We were selling facemasks, we were selling hand sanitizer. And people just didn't want to go into lots and lots of different shops. That -- after the first lockdown, that changed. And we have laid in lots of big initiatives to change the customer journey in our shops on the High Street, launching electrical accessories, launching working from home ranges. And then in Travel, premiumizing food, health and beauty and, again, electronic accessories and then changing the whole layout. So I think a lot of the things that we're putting in place are there to stay. And the way we always think about things, if we're not moving forward, we will go backwards. So we've got a lot of different initiatives that we plan to layer in over the course of the next 6 months to make sure that we're a step ahead. In terms of North America, yes, I mean, it's the sheer size of the opportunity. I mean we're #3, but we're still -- we're relatively small. And the size of the market, the specialty retailer market pre-COVID was $3.2 billion. And the vast majority of that is coming up for tender. So that is a huge opportunity there. And we believe that the combination of brands and MRG's ability to do unique stores for airports puts us in a prime position. We've now got a lot of authority and a really good reputation in North America because some of the latest stores that we've put in place. So we're no longer seen as a gamble, as a new kid on the block. We're seen as the retailer to go to, to bring sort of cutting-edge store design. So I think right here in the moment, we're in a good position when it comes to tendering against the #1 and the #2.
Operator: Our next question comes from Lorenzo Margiotta from Bank of America.
Lorenzo Margiotta: Most of my questions have been asked, but just a confirmation. When I look at the 100 or so units that you've already won, should I expect those to be roughly in line with the sort of MRG sales per unit? Is that a good guide for where we go? Or are these sort of -- because there may be larger format or spread across the world in a different way? Will they be significantly different, either more or less?
Robert Moorhead: Lorenzo, look, the way I think about this, the majority of these stores are in North America. And so if you sort of go back to the pre-COVID, MRG sort of economics, MRG, we were doing sales in calendar 2019 of about GBP 200 million, of out of 170 stores and with an EBITDA margin of between 15% and 16%. So if you think of it a bit like that and the fact that we want to get pay back 2 to 3 years, 2 rather than 3, but it does really depend on the location of the store and the size of the store. That kind of gives sort of a bit of a scale if you -- or a bit of sort of help if you want to scale the size of that opportunity. But it will depend on the speed of the recovery. I mean, clearly, we're not going to open stores in locations where there are no passengers or where there are too few passengers to make it economic. So the pace of the recovery and the shape of the recovery will have an impact on that.
Operator: The next question is from Warwick Okines at BNP Paribas.
Alexander Richard Okines: I'll come back to you answer 3 questions, if I may. And a couple on the High Street to start with. Firstly, I think you mentioned that ATV is running at over 20% growth at the moment. I'm just interested to know some of the drivers behind that. Are you seeing more categories in the basket, for example? The second question is around stationery in the High Street. I think historically, you said only about 100 stores of yours have the full range of stationery. Is that the right number? And if so, what's the plan to roll that out more broadly? And thirdly, you've made comments about where you expect group revenues to get to over the next 2 to 3 years. I was just wondering, given that, that assumes you're not really quite back to where you were before, because clearly, you've made acquisitions since your 2019 financial year. I'm just wondering how quickly you think you can return to historic margins. Whether that's 2- to 3-year period is a decent time frame to think about?
Carl Cowling: Okay. Thanks, Warwick. Well, if I take the first 2 questions, and I'll hand it over to Robert for the third. In terms of ATV, I mean, as I've said, it is about introducing new categories and broadening categories. So specifically, clearly in the High Street, introducing working from home ranges, electronic accessories, better ranges of printer ink, setting out the store for what consumers now want has worked really well for us because a footfall on the High Street is significantly down. So we have found kind of new ways of attracting those customers in. And I think that will continue, and we'll continue to innovate in terms of widening and introducing new categories. In terms of stationery, we're constantly increasing our stationery ranges. And I think over time, we reduced the space that we give to reading materials, and we move it more into stationary than within stationary fashion stationery. That's an ongoing program of work. And the big thing that we're doing at the moment is introducing the sort of third-party concept. So Typo and Tinc, which are sort of very high end sort of fashion stationery for children. The trials that we've put in place have worked, and we're going to roll those out to further stores. And it just gives us a different edge. It draws into kind of a different type of consumer, sort of that high end fashion brings in and it just brings in different footfall. So we're quite interested to push that forward. Robert, do you want to add to that?
Robert Moorhead: Warwick, in a post-COVID world, I can't see why we wouldn't have Travel margins up similar to pre-COVID. But obviously, it'll recover to the same sort of margins as we have before and possibly better because the North American business has a higher margin than our International business. So we should get some margin accretion through that. So in a post-COVID fully recovered world, then I think our Travel margins should be no worse than they were going into it.
Operator: The next question is from Paul Rossington at HSBC.
Paul Rossington: On the one -- sorry, the GBP 50 million that you've earmarked for the GBP 100 million concessions, can you tell me how are you going to spend that GBP 50 million? Is this publicly feels like quite a big number for GBP 100 million concessions? And is that kind of spent the concession consistent with what you've spent on concessions historically? A just color around that would be great.
Robert Moorhead: Paul, let me take that one. The way I would think about this is that the additional liquidity that we now have in the business that helps us deliver the new store pipeline and to execute on the opportunities that we think we have out there. So it is -- we're clearly going to be generating cash. Some of that cash anyway will be supporting the CapEx. What the GBP 50 million gives us and in fact the GBP 100 million gives us is more capacity to complete those stores and to execute on other opportunities that we see out there at the moment and some of the things that Carl touched on already.
Operator: Our next question is a follow-up from Jonathan Pritchard at Peel Hunt.
Jonathan Pritchard: Yes. So to bang on. Can we just go to another level of granularity on Marshalls and the sort of secret sauce there? Because obviously, the competition, they can see what you're up to, they're not deaf. They can see what the winning formula is to a degree. What gives you a degree of defensiveness against them essentially just copying what you're up to?
Carl Cowling: Well, look, I mean, the key thing they have in that, so they were born in Las Vegas and all of the different resorts and casinos. They wanted retail offerings, but they wanted it to look like it was their own retail offering. So MRG have spent the last kind of 50, 60 years kind of answering that brief of coming up with shop brands that look like their bespoke about having the core ranges behind. And they've got a very disciplined commercial structure that allows them to buy their own souvenirs, their own fashion and their own convenience. The big difference for Dufry and Lagardère is they have to find other retail partners to help them do that. They don't source all of their own products. So then it becomes very, very difficult to put a kind of a different retail brand above the door. If you're asking a specific fashion retailer to help you provide clothing, they're not going to want to go under somebody else's brand. They're going to want to have their kind of share of the friends of the store, if you like, the signage. So MRG are able in San Francisco to create a store as a not to the downtown of San Francisco, call it, district market and put all of the ranges of products within that store. So it's one seamless store. For Dufry and for Lagardère to do that, they would have to have individual store brands above the door. And then it sort of -- it loses the impact. So I guess, MRG, they've got the experience, but they've got the vertical sourcing skills already in place and it will take Dufry and Lagardère a bit of time to be able to copy that and move forward, by which time, you would think that MRG are further forward in terms of the offering. So we always need to make sure we keep one step ahead. But in essence, that's why they've got the secret sauce. Does that make sense, Jonathan?
Jonathan Pritchard: Yes, yes. It is absolutely. Yes, that's great.
Operator: [Operator Instructions] We have no further questions on the call. So I hand back to the team at WH Smith to conclude.
Carl Cowling: Well, it just remains to be safe. Thank you very much. Thanks for dialing in. We've got a very exciting 6 months ahead of us. We've got lots to do in terms of opening new stores and winning new stores. Thank you very much. And look forward to perhaps seeing you physically next time.